Operator: Ladies and gentlemen, thank you for standing by, and welcome to the MWV Fourth Quarter Conference Call. [Operator Instructions] At this point, I'd like to turn the meeting over to Director of Investor Relations, Mr. Jason Thompson. Please go ahead.
Jason Thompson: Thanks, David, and good morning, everyone. This morning, we announced our results before the market opened, and a notification of this morning's call was broadly disclosed. Further, this morning's call is being webcast at mwv.com, and a slide that accompany this call are available there as well. I'll briefly remind you that certain statements we make are forward-looking, and are not guarantees of future performance and are subject to known and unknown risks and uncertainties described in our public filings. Furthermore, contents contain time-sensitive information that although correct today may change with the passage of time. All the results we share this morning are presented on a continuing-operations basis. For the fourth quarter, we reported net income from continuing operations of $68 million or $0.40 per share, x items adjusted net income was $71 million or $0.41 per share. Now here to tell you more about our results for the fourth quarter and the full year are John Luke, Chairman and CEO; Jim Buzzard, our President; and Mark Rajkowski, CFO. I'll now turn the call over to John.
John Luke: Thanks, Jason, and good morning. I'm pleased to report that MWV completed a record year in 2010, with very strong performance in the fourth quarter. Our operating earnings for the year were due directly to the success we have had in implementing our market focus strategies for our Packaging businesses and an exceptionally strong performance in our Specialty Chemicals business. Looking back at the year in which we made substantial and lasting progress with our business model improvement and market-based strategies, it is clear that we have transformed MWV's business. Our vision has been and remains to be a global leader in packaging, competing successfully in the most profitable end markets, partnering with the best brands and customers, developing the most innovative solutions, and delivering the most value possible to our shareholders. Our steady record of progress in recent years confirms that MWV is capitalizing on these strengths to deliver significantly higher earnings on a consistent basis. This transformation is especially evident in our performance in 2010. First, we shaped to more valuable revenue mix, exiting unattractive products and markets, and replacing this volume with higher margin products and solutions. Second, we partnered with global brand owners to understand their strategies and packaging requirements, and to develop solutions that enhance their market performance and expand their share. Third, we invented and commercialized innovative new solutions based on consumer insights, customer needs and MWV's design and technology capabilities. And fourth, we used our financial strength to invest in profitable growth opportunities in our most attractive markets. The result is a substantial and sustainable improvement in profitability across our businesses that drove record operating income of $531 million, exclusive of special items. This success, a new starting point for further improvement, was built on our focused work to execute specific strategies to grow profitably in the large global packaging market that we have targeted. As a logical extension of this, we are in the process of organizing our internal management structures to run our Packaging businesses with a focus on end markets. When we complete this process and operate in this structure, most likely later in 2011, we will report segment results under this new view. This will give our investors and other stakeholders a better perspective on the transformative changes we are implementing and the heightened potential for very strong growth and value creation in attractive end markets. Until it's appropriate to report our results in this way, I will highlight key activity in our top-priority markets. After I do so today, Jim will share additional details on our performance in the segment as we report them today. Mark will follow with a review of our financial performance for the year, and provide an outlook for our business for the first quarter of 2011. Turning to our targeted packaging markets and beginning with food. In the large global market for food packaging, we continue to win new business with retail food customers. Our volume was up about 12% in the quarter, especially with new product launches by frozen and dry food customers, including Kellogg's, Unilever and General Mills. We're also building our platform for future growth, with in-store trials for Captivate, our shopper-ready packaging solution for grocery store shelves, with major brand owners starting in the first quarter of 2011. Our Beverage Packaging business was steady for the year, tracking at or slightly ahead of trends in the industry. There was widespread softness for beer and soft drink multipacks in developed markets in North America and Europe, but we achieved strong volume increases in Asia and Latin America. We've recently seen an increase in machinery placements, a sign that customers are beginning to make infrastructure investments that we expect will lead to higher revenue in the future. In the Healthcare Packaging market, we lead the adherence category with our Shellpak and Dosepak products. And we're now launching a national rollout for Shellpak with Kroger, including marketing support, pharmacist training and in-store materials. Including our business with other retail customers and branded and generic drug companies, volume for our adherent solutions was up almost 25% for the year. Scientifically proving that these packaging solutions positively influenced the way patients take their medications is an important strategic priority for our Healthcare business. We have recently completed two year-long scientific studies that strongly support our view that Shellpak can improve medication adherance. The result of these study will be published in peer-reviewed medical journals in the coming weeks and months, and we will use those to support the future marketing of our products. We had continuing strong performance in the home and garden marketplace, with high demand for trigger sprayers, for surface cleansers and our aerosol dispensers for products like Febreze. Some consumers are beginning to trade up to the premier brands, and purchase a wider variety of specialized products. With the technologies and strategic global positions that we acquired from European trigger sprayer company, Spray Plast, during the fourth quarter we expect to continue our strong performance in this market in 2011 and well beyond. In beauty and personal care, the higher-end portion of the market continues to rebound strongly. During the quarter, we had very good sales of our airless dispensers and pumps for the fragrance markets. Demand for these products is strong around the world, especially in Asia. Balancing this during the period, however, we did see lower volumes in the fourth quarter for our mass-market soaps and sanitizer dispensers in North America due to diminished concerns about the H1N1 virus that drove exceptional volumes last year. Lastly, we had very strong sales and earnings in Brazil during the quarter, with increased sales of corrugated packaging for produce, frozen meat and other markets served by Rigeza. During the fourth quarter, we also announced an investment to support expanded market growth in Brazil by building on our long-standing presence, deep market knowledge and fiber cost advantage, and that project is moving along on schedule. More importantly, the market reaction to our announcement has been very positive. Many of our customers are planning continued strong growth, and they are pleased to have a reliable partner like Rigesa to invest and grow with them. This very attractive investment will help maintain our position as a key supplier for their packaging needs. Our ability to capitalize on clear opportunities for profitable growth in the attractive packaging markets I've just mentioned is the key factor in our improved performance, and will be a critical component of our value creation potential going forward. Together, these packaging end markets represent more than $300 billion in sales around the world, and each is growing at rate from 2% to 6% overall and as much as 10% to 12% in rapidly developing markets such as Brazil, India and across the rest of Asia. We have advantages that we are exploiting to capture these profitable growth opportunities, and we also have the financial strength and market knowledge to invest in extending these advantages with both organic growth and additional acquisitions that fit our strategy in key markets. With the business strategies we have in each of these targeted packaging markets and our other businesses, most particularly the step change we've made in our Specialty Chemicals business that Jim will describe in a moment, we are very confident in our ability to drive further earnings in cash flow improvement on a consistent basis. With the transformative changes to our model taking hold across MWV, our entire company is focused on making these new strengths the hallmark of our business today and for many years to come, and enabling us to achieve the next level of performance that we have confidence will further set us apart from the competition. I'll now turn it to Jim to report on our operational and segment performance. Jim?
James Buzzard: Thanks, John. MWV's performance in 2010 was a direct result of improvements to our business model and the impact of our profitable growth strategies in key targeted markets. Overall, sales were up 5% for the year, with a solid performance in the fourth quarter adding to the success we established to the first nine months of 2010. Our reshaped product portfolio and participation strategies in packaging end markets continued to be the major driver of our improved results. Our expanded innovation capabilities also contributed greatly to the positive shift in our product mix. In 2010, we enhanced our innovation capabilities with consumer insights and product design capabilities that have proven to be a key element of our partnerships with global customers. These partnerships lead to breakthrough new innovations, such as Captivate for the food market and airless dispensing solutions in personal care. In these cases, we have developed innovations that solve our customers' biggest challenges, and address their customers' biggest needs, whether they are standing out on a crowded grocery store shelf or getting that very last drop of product from a bottle of lotion. In addition to the widespread commercial success we've achieved in our targeted markets, we operated well throughout the year, driving productivity improvements and cost reductions, and supporting our commercial team with an efficient and effective manufacturing system. We added another $16 million in savings from our strategic cost management program, which pushed us beyond our target of $250 million in run rate savings. We also delivered an additional 3% productivity for the year for our ongoing operational excellence program. I'll now provide some details about the contributions from each of our business segments to this strong performance. Additional information is available on our press release, and the slides that accompany this call. Three quarters of our revenue comes from Packaging, which combines our Packaging Resources and Consumer Solutions reporting segments. Together in the fourth quarter, the Packaging businesses increased profits by 54%, and our EBIT margins improved almost 300 basis points. This demonstrates the strong trajectory of our largest and most important business. In the Packaging Resources segment, sales were up 5% in the fourth quarter, with especially strong performance in markets for retail food packaging, liquid packaging and commercial print paperboard and in Rigesa. We also have significant pricing gains, a richer product mix and excellent productivity improvements throughout the system, which resulted in a 60% increase in segment profit during the fourth quarter. Bleached board shipments were down 1.5% in the quarter. We lost some shipments due to the timing of export vessel shipping schedules, and we used a seasonally slower time to rebuild inventories to improve our service posture in key markets. Shipments of CNK were up 3%, reflecting continued gains in retail food packaging. We continue to run full at our mills during the quarter, and order backlogs remained at four to five weeks at the end of the quarter. The overall performance in the Packaging Resources segment for the year was very strong, with a $75 million improvement in earnings compared to 2009, in spite of significant weather-related impacts in the early part of 2010. This also includes a record year at Rigesa, where our investment to further grow the corrugated packaging business is proceeding on schedule. In the Consumer Solutions segment, sales were down slightly in the fourth quarter and the year, as we've continued to exit some unprofitable business. However, we did have substantial volume growth for our value-added solutions and targeted markets, including airless and fragrance dispensing solution and personal care, trigger and hose-end sprays in home and garden, adherent solutions in healthcare, as well as broad-based growth in emerging markets. This richer product mix and productivity improvement for our manufacturing optimization actions in this business helped drive dramatic profit improvement in the Consumer Solutions segment, up 41% and 33% for the fourth quarter and the full year, respectively. In the Consumer and Office product segment, we had solid operating results for the fourth quarter, though total sales in the segment were down slightly compared to last year. While we experienced better than expected shipment volumes for calendars and time management products during the end-of-year season, they remained below last year's levels. Also, volumes were down in Tilibra versus last year due to a shift in timing of the back-to-school season in Brazil. The segment continue to generate very strong productivity, which helped drive earnings up 4% to $57 million during the fourth quarter, and overcame inflation on key input costs that are expected to continue in 2011. During the quarter, we entered into an agreement as to sell the segment's Envelope business, which is included in discontinued operations. We expect this transaction to close shortly. In the Specialty Chemicals segment, we closed out a record year, with another very strong performance in the fourth quarter. We continue to see the same trends, growth around the world for our auto carbon solutions, asphalt and multipliers, including Evotherm and oil field chemicals. In many cases, we've created the markets for these chemical derivative products, and we've invested over the past few years to take advantage of global growth trends, especially in emerging markets like Brazil and China. As a result, sales in the fourth quarter are 25% higher than last year and earnings more than doubled to $36 million during the quarter. Overall, the $141 million earnings in this segment for the year was a record result, and the team has built a strong foundation in the business to drive further improvement. In Community Development and Land Management, we had good progress from our development activities and rural land sales during the fourth quarter. We continue to build this business by focusing on a disciplined approach to extracting the maximum value from our land holdings, with a special emphasis on the land we own in South Carolina. The Charleston South Carolina area, in particular, has one of the best economic development engines in the country, and many of our rural and industrial properties are positioned perfectly to capitalize on the strong prints favoring this region. As evidence, we've already completed the first industrial warehouse as part of our joint venture with the Rockefeller Group in just over a year. The tenant, TBC Corporation, accepted the building upon completion and will be occupying this 1.1 million square-foot facility shortly. Another two building path at this development site are ready, and we've had have an increasing share of inquiries from potential industrial tenants looking to capitalize on the economic developments in Charleston area, including the new Boeing assembly plant and the announcement of an expanded port terminal. During the quarter, we also closed the sale of our first commercial property in our East Edisto project, with tremendous cooperation from county government. Despite the strong business environment in South Carolina, the real estate market has not been immune to the impact of the recession. In these tough conditions, we still closed on a number of rural land sales during the fourth quarter in South Carolina and elsewhere, with an average price per acre of over $3,000. The number of transactions has remained lower than prerecession levels, but the very strong valuations we received validate our direct marketing approach that leverages our land management knowledge and premium branding to find the right buyers for the right-priced properties in the right locations. Now I'd like to turn the call to Mark to discuss some of our financial metrics for the fourth quarter and the full year of 2010. Mark?
E. Rajkowski: Thanks, Jim. By virtually every measure, our financial performance during 2010 was outstanding. We generated record earnings, and we grew our revenues by 5% for the year. Additional highlights of our 2010 performance include record operating profit of $531 million, free cash flow of over $115 million, and that's cash after CapEx and dividends, and a 9% increase in our annual dividend to $1 per share. Our improved business model and earnings momentum in 2010 give us confidence that we can continue to deliver performance improvements in 2011. Our businesses are performing exceptionally well in today's still-challenging economic environment, and we have opportunities to extend our success with new investments and profitable growth strategies in our targeted end markets. We have shaped a more valuable product mix across our businesses. We are profitably growing in our targeted markets, and we have an efficient delivery platform that is bringing more of our top line gain to the bottom line. In short, the transformation of our company has put us on solid ground to deliver consistently higher earnings and financial returns for our shareholders. I'll now provide some more detail on the improvements in our financial performance, and then share our outlook for each of the business segments in the first quarter. Our focus on higher value products and customers resulted in significant price and mix contribution to our top and bottom line in the quarter and for the full year, especially in our Consumer Packaging and Specialty Chemicals businesses. Excluding deliberate product line exits, volume of our core products was up 5% for the year and down 1% during the fourth quarter. Volume growth for the year was driven by increases in food and liquid packaging, airless dispensers for personal care products, trigger sprayers for the home and garden markets, corrugated packaging in Rigesa and by strong volume increases in our Specialty Chemicals businesses. In the fourth quarter, continued volume growth in these areas was offset by lower beverage volumes in line with beer and soft drink declines in developed markets, lower volumes of personal care pumps for soap and hand sanitizers compared to last year's heightened concern about H1N1 epidemic and a shift in volume for Tilibra from a later back-to-school season in Brazil. Our growth in 2010 was driven by our focus on value added new products, as well as the leading positions we've established in rapidly developing markets such as Brazil, India and other areas in Asia Pacific. Sales growth in these markets was about 15% in 2010 paced by our record performance in Rigesa, and continued strong demand for asphalt and automotive carbon solutions in Asia. Our business in emerging markets now represents more than $1.5 billion in annual sales or 27% of our total revenue. Importantly, we are now leveraging our commercial momentum over a much improved cost structure. This combination resulted in significant expansion of our operating margins in both the quarter and full year and a record $531 million of adjusted EBIT. The strength of our transformed business can also be seen in our balance sheet and in our cash performance. Stronger earnings and continued gains in asset efficiency were the primary drivers of our excellent operating cash flow performance at about $550 million in 2010. During the year, we improved our cash-to-cash cycle by an additional five days. We are allocating capital in a manner that is most productive for our shareholders. The increase in our annual dividend to $1 a share is a reflection of the higher levels of cash flows we're generating from our business today and the confidence that we have in our ability to continue to improve our cash flows going forward. We'll do that by continuing to invest in profitable growth opportunities that we've identified in each of our businesses. Our expansion in Brazil and the acquisition of Spray Plast for our global Home and Garden business are recent examples. Beyond these, we are increasing investment in our new product pipeline and are continuing to look for further bolt-on opportunities that can augment our capabilities or strengthen our presence in global growth markets. In addition to making growth investments in 2010, we returned $250 million to shareholders through dividends and stock repurchases. We also repaid $132 million of long-term debt, resulting in a debt-to-capital ratio of 38% at year end. Now turning to our outlook. Our improved margin profile, cash generation and increased commitments to shareholders underscore the progress that we've made with our transformed business. As we look into 2011, we expect another solid year of overall earnings improvement. Demand across our targeted packaging markets has stabilized and in some cases, is improving. And we continue to see good demand around the world for our Pine Chemicals and carbon solutions. We are, however, closely watching the recent price trends for oil and the impact on our energy, raw materials and freight cost. Prolonged spikes in oil prices would not only impact our short-term profitability, but could also slow demand recovery. Now a quick rundown of our first quarter outlook for each of our segments. In the Packaging Resources Group, we expect segment profits to be well above year-ago levels. Order backlogs are above normal seasonal levels and will have a benefit from pricing actions taken in 2010. In addition, we are better positioned to address potential fiber availability challenges caused by weather, which was a drag on segment profits during the first quarter last year. In Consumer Solutions, we expect segment profits to be similar to year-ago levels. Higher volumes in our home and garden business and from Spray Plast acquisition, price and mix improvement and continued productivity gains are expected to be largely offset by higher cost for materials and freight and continued weakness in 2cc pumps for soaps and sanitizers due to lower H1N1 concerns. Our Consumer and Office Products business is expected to post a modest first-quarter profit. Shipments of dated products into the commercial channel have been solid, and some sales for Tilibra have shifted into the first quarter, as the school year in Brazil is beginning later due to the timing of carnival. Higher paper costs, however, will somewhat offset these benefits. The business model improvements we drove in 2010 in our Specialty Chemicals business will continue in 2011. In the first quarter, segment profits will be well above year ago levels, with comparisons getting tougher thereafter. We expect relatively solid demand for Performance Chemicals aimed at global energy and infrastructure markets, as well as steady demand for automotive carbon. In our Community Development and Land Management business, market conditions for rural land sales remained challenging, making it difficult to forecast sales and earnings. However, there has been an increase in inquiries for both rural and industrial properties, and we are continuing with our approach to marketing that we expect will continue to generate premiums values per acre. With that, I'll turn it back to John.
John Luke: Mark, thanks very much. To summarize MWV's performance during the fourth quarter was a solid finish to a very strong year. Our financial performance directly reflects the hard work across our organization to strengthen our business model and increase our profitability in targeted global growth markets. The transformation of our business is not an end point, but instead is a new baseline on which to build further. We're always looking ahead, and we're enthusiastic about the substantial opportunities that we see and expect to further improve our performance by capitalizing on the commercial and operational strengths that we have built. With this, we'll conclude our prepared remarks and turn to your questions.
Operator: [Operator Instructions] And our first question will come from the line of Mark Connelly with CLSA.
Mark Connelly - Credit Agricole Securities (USA) Inc.: You highlight some good things happening in the land segment, but we still worry that this is going to take forever to happen. Can you give us a little sense of your timeline, and whether you plan to take projects into construction or whether you're going to be done when you get to the end of entitlement? Just trying to get a sense of what kind of light there is light at the end of the tunnel.
John Luke: Mark this is very much a work in progress and one that is taking shape that we're very excited about. We certainly see, particularly against the backdrop of what has happened in the economic environment, very, very significant progress, whether it is the entitlement work that we expect to move along at good pace, as well as the development or planning for development of another series of projects in and around that low-country area, and Mark referenced some of the early successes we're having with that work. We clearly see this as something that can create significant value. We don't see this as something that's going to take a long, long time, but we see it as something that will generate a steady stream of value creation for our shareholders. We'll keep you closely informed. And frankly, we hope to have a visit for a series of investors to come down and see what we're doing firsthand sometime the middle of this year.
Mark Connelly - Credit Agricole Securities (USA) Inc.: On the Consumer Solutions business, you clearly have gotten a lot done in terms of productivity, you're cleaning up the mix. Can you give us a sense of how strong you feel the top line story is there? I mean, you alluded to 3% and 6% and 10% in emerging markets. Do you need to see more acquisitions there to get the top line moving, John?
John Luke: Mark, I think there are two answers to the questions. One, we're very excited about the opportunity organically to expand the top line, leveraging the innovations that we have, and what we referred to as against the backdrop of what has been and expected to be in North America and other developed parts of the world relatively slow growth. But you contrast that with the opportunities we see in markets that we've highlighted like Brazil, China and certainly, India among others, the opportunity in those areas for much more robust participation with the products and solutions that are part of our competitive suite right now are pretty significant. To your point about acquisitions, we certainly, just as we acquired Spray Plast in Europe to get technology and expanded market position, and will further build our strategy across Eastern Europe, we see a significant opportunity for similar kinds of bolt-ons, if you will, to be explored that will further bolster our participation in present markets and potentially adjacent markets, and perhaps even with new materials that enhance our capability as a packaging solution provider. So I think there are two answers, as I said, just to recap, one, very good opportunity continuing to do what we're doing given the growth trends. But second, with our eyes wide-open, opportunities to be very opportunistic to profitably expand our business in those regions with attractive bolt-ons.
Operator: And our next question comes from the line of Chip Dillon with Credit Suisse.
Chip Dillon - Crédit Suisse AG: Can you give us a sort of a rough estimate of what you have, sort of how you see the CapEx flowing in '11 and even in '12, taking into the Rigesa project, just order of magnitude?
E. Rajkowski: Chip, one of the things that we've talked about in over the last 12 to 18 months is certainly our focus on continuing to look for opportunities to invest in profitable growth. We weren't going to get ahead of the curve in terms of the economy. We are seeing some stability in the global economy. We do have some opportunities that we think are very attractive in a number of our end markets and as well as emerging markets that would suggest that our capital spend in 2011 will be at slightly higher levels beyond what we're also going to be investing in for the expansion of our Brazil business. So this year, we came in at roughly $250 million. Next year in addition to our LEGO expansion, we expect to see capital closer to $300 million, because we think there's some real good opportunities to profitably grow the business.
Chip Dillon - Crédit Suisse AG: So for '11, when you add them both together, what would that all total with Brazil?
E. Rajkowski: Brazil, next year will probably going to be slightly north of $300 million in terms of CapEx. And then on top of that, we'd have what I would view as more of our core capital spend, which I mentioned, is probably going to be in the neighborhood of $300 million.
Chip Dillon - Crédit Suisse AG: And that's for '11?
E. Rajkowski: That's correct, Chip.
Chip Dillon - Crédit Suisse AG: I guess with that, then it would be less in '12 -- I don't remember the exact number. But would '12 be a little bit less than that or in other words, is the bulk of Rigesa happening in '11?
E. Rajkowski: Yes, it is. Approximately 2/3 of our capital spend will hit in '11, the remainder in the first part of '12. So you will see a declining level of CapEx in 2012.
John Luke: Chip, It's John. I would just pick up on what Mark has said and reinforce the profitable growth dimension of the investments we're making. As we've talked about the Rigesa project, it is one that is clearly one that we're excited about. But we're excited not only because of the growth potential, but we're particularly excited because a good discipline was put in place, and it will support true profitable growth, and this is something that as we see CapEx, whether it's for a special project like Brazil or other things move up and down from year-to-year, you can be sure that everything has been put through the rigorous discipline of a profitable growth assessment.
Chip Dillon - Crédit Suisse AG: And then just real quickly, could you just talk a little bit more about the land around East Edisto. It would seem, I mean, from the concept of you guys, I would think, would be active, and maybe helping to recruit business down there. It's a very business-friendly area, obviously, with Boeing not far away, and yet a lot can determine the future value of that land based on how the suburbanization of Charleston continues. Are there actually activities where you're involved with local officials to attract businesses and others to that area?
John Luke: Chip, the short answer is that when we are invited by the leadership in the community, of which we're increasingly a part, to engage in those activities we do so with great enthusiasm. The state and the local region, including the City of Charleston, has outstanding commercially focused economically developed leadership. And I think what they have been able to do in the last couple of years by attracting Boeing and other companies is a reflection of their vision. And we have, as a key member of the community and working closely with them on development plans both for ours, as well as looking at overall plans for the region, have an opportunity to participate in formal and informal ways we have done so enthusiastically.
Operator: And we now have a question from the line of Gail Glazerman with UBS.
Gail Glazerman - UBS Investment Bank: To review what you're looking at in terms of the operating segments. Would you envision that potentially leading to further restructuring activity or portfolio changes?
John Luke: As we are going through this evaluation, we would not anticipate that there would be major restructuring. I think the kinds of changes that have involved restructuring or portfolio changes have largely been addressed through our activities over the last couple of years. It is with all of that now, at least for the present, largely behind us, that we are now looking at how we can and should be managing the business more effectively to support our strategies.
Gail Glazerman - UBS Investment Bank: And in terms of mill pricing, can you give a little bit more color on the comment you made about currency benefits in 2010? And also, can you talk maybe little bit about what you're seeing down in Brazil in terms of pricing as well? There is some talk on recycled board prices weakening a little bit, just wondering what you're seeing?
John Luke: Jim, you want to offer some thoughts there?
E. Rajkowski: Gail, in terms of mill pricing, we have, throughout the year, have been moving up pricing on the SBS side. because I think, as we referenced in this slide, up 8% year-over-year in the fourth quarter. We moved CNK pricing early in 2011, and seen good success implementing that. Down in Brazil, in the corrugated market, we had very strong pricing activity in the second half of the year, and that's partially led to the improved performance down there.
John Luke: Gail, it's John. I would just add on to what Jim has said that, I think, we have done a very good job addressing our pricing everywhere we can. The pricing is supported by a real focus on the value and performance characteristics that our products bring to our customers. And in his comments on the outlook, Mark mentioned the potential for inflationary pressures, potentially largely driven by what we see underway in the oil market right now and beyond just value-based pricing that we would normally look to. You can be sure that we are vigilant and looking to anticipate cost increases that might potentially need to be offset by pricing. We see those risks coming, and we have very determined plans to ensure that wherever and whenever we can, we will pass those through and enhance pricing.
Gail Glazerman - UBS Investment Bank: Down in Brazil, that strong pricing is holding currently?
E. Rajkowski: Yes, it is.
Gail Glazerman - UBS Investment Bank: And can you just talk. I mean, it sounds like your tone is maybe a little bit more optimistic than it has been in terms of market outlook, and just wondering if you can give a little more color on what your hearing from your customers, any signs that they're willing to invest in new products, that they're getting confident that demand will come back a little bit stronger in 2011?
John Luke: It's John. Let me just offer a few high-level thoughts and invite others to jump in. We are standing, perhaps, a bit more optimistic, because we have had a very good year in setting the stage for future growth. Yes, we have seen more stabilization in North America, and we hope in Europe, and that would be welcomed. But I don't know that we are overly optimistic about the pace and tone of rebound in the developed market. That said, our optimism underscores our confidence in the positions we have developed in those developed markets and the opportunities that we see to participate in the very significant profitable growth opportunities in our targeted markets in what is broadly called the emerging markets.
Operator: And we'll move on to the line of Mark Weintraub with Buckingham Research.
Mark Weintraub - Buckingham Research Group: In the fourth quarter, the operating performance was obviously good, especially relative to at least my expectations in the Chemicals business, the improvement. It got a little bit offset, it seemed though, by some other expenses both on corporate, there's was an $11 million other and also, there seems to be some strategic cost management spending. Can you help us understand those drivers, on the corporate and the other and the strategic, and where they're likely to be going in 2011?
John Luke: Let me take that one. Just taking a step back when you look at the work that we've done over the last 18 months relative to our overhead cost structure, I think it's clear that it's having its intended effect. When you look at SG&A costs in total dollars or as a percentage of sales, they're down 90 basis points as a percentage of sales, both in the fourth quarter and for the full year. When you look at just our total corporate spend that you referenced, our spending is down year-over-year for the full year. There was a little bit of a tick-up in the second half of the year, and that's largely a function of accruals related to incentive comps, some spending on projects, primarily IT-related. But the trend on an all-in basis for the year is positive, and we'd expect that to continue. So as we look at 2011, we wouldn't expect to see that run rate that you saw in Q4 to be $74 million. A lot of that is just related to some accruals and year-end things that I mentioned. Our run rate, as we head into 2011, would be close to $60 million.
Mark Weintraub - Buckingham Research Group: And there is an $11 million as well. Was that kind of a one-off, or what was that $11 million?
John Luke: $11 million related to -- which component are you talking about? In other? Yes, again, there's a couple of items in there. One is we've got some legal and environmental accruals in there. We made a contribution to our foundation. Those are the big drivers.
Operator: And we now have a question from the line of Mark Wilde with Deutsche Bank.
Mark Wilde - Deutsche Bank AG: That's a really impressive performance over in Specialty Chemicals. I wondered if you could just give us some thoughts on whether there is room for further margin improvement there, and also what you might be thinking about in terms of ways to further expand that business.
John Luke: Mark, it's John. Let me just offer a couple of comments, and hand it over to Jim. I think I would just -- with an element of pride for the folks who run and toil in that business day in and day out, echo your thoughts. They have done a very good job, and as I commented in my prepared remarks, what we're seeing there is a step change in the quality and character performance in that business that reflects several years of very hard work in setting new strategies, both to participate more broadly in traditional markets, as well as to participate attractively in a growth that we're seeing in all of our businesses in the emerging markets as well. So step change is the operative term, and we do see good opportunities for building on that. Jim?
James Buzzard: Mark, three of the key drivers for this year in that business have been the focus we've had on innovation and the development of new products. I talked a little bit in my prepared comments about the move into new markets, particularly oil fields and building on our strong presence in the asphalt markets and productivity, and we see opportunities in all three areas. Over the last several years, we've made investments in China and Brazil, still have opportunities to grow in those important regions. And there is the last areas, where we clearly have not snapped back in the Auto Carbon business, nearly where we have been and we see opportunity for further growth in North America as those businesses come back. So echoing John's, well, I think the team just did an absolutely terrific job this past year, and we obviously believe it's a very sustainable performance, and one that we will build off of going forward.
Mark Wilde - Deutsche Bank AG: Jim, I want to just step over to the Mill business for a minute. First of all, with CNK, is there a reason that pricing would be just flat year-to-year, because it seems like the recycled board market is going up. The SBS market is going up. I'm kind of puzzled why this third substrate would be flat from a pricing standpoint.
James Buzzard: Mark, the impact of mix that goes into that, and so we have some price movement that was offset by mix year-over-year.
Mark Wilde - Deutsche Bank AG: And you mentioned that you have price increase going in the first quarter of 2011. Can you give us just some sense of magnitude and what the timing is likely to be as it rolls in?
James Buzzard: We announced a $40 ton price increase, and we see that moving through very well. And we would expect to have it certainly fully in place by the end of the quarter, in the first quarter.
Mark Wilde - Deutsche Bank AG: Over on SBS prices, I think you also mentioned that we're going to see some improvement there in the first quarter. I don't know about kind of further improvement for the year, but can you give us some sense of that as well, Jim?
James Buzzard: Mark, what we have in place in the first quarter is certainly moving on some contracts that will go up at the beginning of the year. Those are fully in place. And in terms of further opportunities, as John said, we will continue to value-price our product, and keep a sharp eye on potential inflation issues and you can be assured that we are watching it very closely.
Mark Wilde - Deutsche Bank AG: I've been talking to some consumer goods companies that are actually concerned about SBS supply over the next 12 to 18 months. I just wonder, is there capacity from the machines that you've idled at either Covington or down at Evadale that could potentially come back?
James Buzzard: No, sir, they won't come back.
Mark Wilde - Deutsche Bank AG: If we go back over the last 10 years, part of the strategy that you put in place about 10 years ago, was to kind of move away from Mill business a bit and focus more on downstream converting. And I wonder just given the leverage that we're seeing in the Mill business and given how the Mill business has improved with sort of the industry move and with the weaker dollar, whether you might rethink that strategy a little bit and come back and think about doing more things in Mill-related businesses beyond Brazil?
John Luke: Mark, let me pick that up. I think Brazil is very much the center of our focus right now for all of the reasons that we've talked about. I think you're right to raise the question. We did make a move and we've learned a lot. And it is the move downstream has helped shape what we are now excitedly pursuing as our profitable growth opportunity in packaging, that as we transition our management structure, we'll be focusing on an even more targeted way in discussing with you. I think over the same period, one of the things that we've been able to do to, in your words, leverage the mill capabilities is, as Jim alluded, really look to align the production of the mills with the quality and capabilities in both in performance and products to participate profitably in those targeted end markets in an ever more meaningful way. So our aim strategically is to grow profitably, and do it wherever and whenever we can align our current asset mix, and where there's an opportunity or need for further market growth. To add to that, we'll determine the most efficient way to pursue that course. And obviously, that answer is, of course, with the expansion in Brazil right now. Jim?
James Buzzard: And Mark, we share your belief that there is growth in these markets going forward, and we clearly, we know the leverage that exist in these operations, if there are targeted capital investments to allow us to increase our supply, we'll look at those.
Mark Wilde - Deutsche Bank AG: You're doing all this stuff in Brazil now, but are there any plans if we look a few years out to kind of expand in Latin America beyond just the Brazil base?
James Buzzard: Mark, we always have had an eye on what is happening in markets all around Latin America. I think one of the things that we have been able to do over the year is to, one, recognize that from Brazil, from both the Mills as well as our Converting operations, we can serve other countries and do it efficiently. We are doing a fair amount of work in Argentina at present, leveraging our Brazil platform. As we see economies hopefully follow Brazil forward, our knowledge of that part of the world may yet lead to other opportunities. But right now, we've got plenty of exciting growth potential right before us in Brazil.
Operator: And we'll move on to the line of George Staphos with Bank of America Merrill Lynch.
George Staphos: First, I want to piggyback on Mark's question, what mix factor actually was at work in terms of why CNK pricing wasn't up more or was flat in the quarter?
E. Rajkowski: The mix between, certainly, between Europe and North America, between our open markets, on the beverage side of the business, and between the non-beverage business, so all of those factors came into play.
George Staphos: Jim, could you give us some direction in terms of which of what you just enumerated went one way versus the other, if that's possible?
James Buzzard: Throughout the year, George, we saw even the sort of beverage business was flat. We had more growth in some of the non-beverage applications. And then our European business was down year-over-year. So that combination of those things lead to more of a flat model and pricing.
George Staphos: Would that suggest some of the new applications are lower in mix since they were growing?
James Buzzard: Well, in some cases, they may be. But in general, I think as we look going forward, we see our pricing moving up.
George Staphos: And Consumer Solutions, and again, we appreciate all the progress you've been making there in realigning the mix of business and the markets that you're in. You mentioned, I think, that volume was down in the quarter, some of that was H1N1, some of that was beverage. Was there any leakage in any other markets that you participate within in Consumer Solutions that we should be mindful of? And then the related question there, margins, nice improvement, year-on-year. But on a percentage basis, it's still relatively low on an EBITDA basis versus other Specialty Packaging businesses. So structurally, what you need to do to see better margins, say, closer to 10% over time in that business?
John Luke: Well, that certainly is a name that we have before us, George, I think to your first question, if there were leakage in other areas, we would have highlighted it. I think we're not seeing the growth in the volume in certain of those other areas that we would see going forward, but we're gotten our focus on the market right. We have done a better job in getting established in more of the emerging markets that we've talked a lot about here, as well as repositioning some of our converting businesses down in Brazil to serve those markets. We will continue to focus on profitably extending our participation strategies, and we are also continually leading, and Jim is leading this effort, and overall, continuing to review on our operating productivity in each of our supporting plants and factories here and around the globe. Jim, anything you want to add?
James Buzzard: George, I think what we've said before, we like the markets we're participating in. We clearly have seen very strong performance in our airless technology in the fragrance markets. Beverage was a little softer this year than we would've liked, but we see that coming back in 2011. So we think we are well-positioned in the combination of the ability to grow. And as John referenced, our ability to drive ongoing productivity will help us to expand those margins as we move forward.
George Staphos: And in fairness, there really hasn't been a specialty packaging company that's reported yet. So you're the first one out the door here. We'll see what the other companies report the next couple of weeks.
John Luke: George, I want to add, regardless of what they report, I think you put the bogey out there, and that we're going to keep moving towards that. And it's something else I would reference, is that we see very significant opportunity, as I touched on in my prepared remarks, in packaging for healthcare. That is also going to be a significant contributor going forward, and we're very excited about that.
George Staphos: In Specialty Chemicals, you've done a terrific job through innovation of ratcheting up price mix as one of the biggest drivers of your EBIT improvement this year. How do you build a moat around that price mix such that competitors who see the results that you're putting up don't try to encroach upon your markets? What's the barrier to entry for them relative to your market. And in Consumer & Office, you did a great job again on productivity. Can you size for us how much more opportunity you have for productivity in that business?
James Buzzard: George, I think in terms of the Specialty Chemicals business, the reason the price mix moves as it has is the value that we create in the marketplace for our customers, and that value is really based upon the technology that we provide. And we can quantify that, and our customer base fully understands that. So that really is the moat, as you referenced, that we are very confident we can put around that business. In terms of Consumer & Office products, they delivered good productivity this year. As John referenced, we have an ongoing program in all of our factories. And we expect them to continue to drive productivity through the programs we've got implemented to date. That's certainly something we will continue to focus on year in and year out.
Operator: And we have time for just one more question, and that'll come from the line of Rick Skidmore with Goldman Sachs.
Richard Skidmore - Goldman Sachs Group Inc.: I wanted to ask, as you've made some changes in the overall business, i.e., exiting Media and Envelope, does that reflect a change in the overall thinking about the assets in the portfolio and your strategy for the businesses going forward and your directions specifically focused on becoming more of a packaging company, or is that just restructuring and exiting some underperforming businesses?
John Luke: I think it's much more the latter. I think that it clearly does, will reflect that we're actively looking at what is performing well, what the profitable growth trends are, and whether we should be thinking more broadly. But I think that unless Jim and Mark offer a different thought, which I'm sure they would if they had one, we are very aligned on the fact that our portfolio, as it stands now, is one that we're enthused about, and very committed to being a critical component in total to the next level of performance that we talked about.
Richard Skidmore - Goldman Sachs Group Inc.: And then just on that same topic, a few years ago, you talked about looking into what the appropriate vehicle was for the Land Management business, and then we had the downturn, any update on your thinking there? Does the Land business fit into the same comments you just made about the mix of the portfolio? Or is there thinking that's new on unlocking the value that's ultimately in that Land business a little quicker than sort of letting it play out through the development process?
John Luke: We are very excited about the work that is underway, as I commented earlier, and we are creating value in that business with the excellent leadership and team that's been assembled as we speak. And that I think will give us great opportunity to evaluate just what the future strategy for that business should be when the markets are such that it's appropriate to consider. But we are very committed to that business, and supporting its profitable growth.
Jason Thompson: Well, thanks, everyone, for joining us. We look forward to speaking with you throughout the quarter. Take care.